Operator: Good morning and welcome to the First Quarter 2016 Earnings Conference Call. My name is Brandon, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I will now turn the meeting over to DeAnne Gabel. DeAnne, you may begin.
DeAnne Gabel - Senior Director-Investor Relations: Thank you, Brandon. Welcome to the Spirit Airlines first quarter 2016 earnings conference call. Presenting today will be Bob Fornaro, Spirit's Chief Executive Officer; and Ted Christie, our Chief Financial Officer. Also joining us for the Q&A session today are Thomas Canfield, our General Counsel; John Bendoraitis, our Chief Operating Officer; Ted Botimer, our Senior VP of Network and Revenue Management, and other members of our senior leadership team. This call is being recorded and simultaneously webcast. A replay of this call will be archived on our website for 60 days. Today's discussion contains forward-looking statements that represent the company's current expectations or beliefs concerning future events and financial performance. Forward-looking statements are not a guarantee of future performance or results and are based on information currently available and/or management's belief as of today, April 26, 2016, and are subject to significant risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements, including the information under the caption Risk Factors included in our Annual Report on Form 10-K and Quarterly Report on Form 10-Q. We undertake no duty to update any forward-looking statements. In comparing results today, we will be adjusting all periods to exclude special items. Please refer to our first quarter 2016 earnings press release for further details regarding our assumptions for the reconciliation to the most directly comparable GAAP measure. With that, I'll turn the call over to Bob.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Thanks, DeAnne. And thanks to everyone for joining us. I want to start by thanking our Spirit team members for helping us deliver this solid first quarter results. As I traveled around the system, meeting with various workgroups, I'm happy to find a strong sense of teamwork and a spoken desire to keep getting better. It is this passion at Sprit that reinforces my belief in the strength of the business model and makes me extremely confident in our ability to improve our operational results and customer service metrics over time. While we expect to see some key improvements in our operational performance this summer, we're being conservative and thoughtful in our approach to finding a solution that could change things faster by throwing money at our issues, but we aren't willing to do that. Instead, we've tasked ourselves with developing a solution that allows us to achieve our goals while remaining efficient and controlling our costs. We're also focused on improving our revenue results, the pricing environment remains very soft, but we aren't just sitting passively by. We've upgraded our pricing systems, made modest revisions to our schedules and adjusted our approach to inventory management, all of which have contributed to our success in the first quarter. We're doing a lot of work, planning out a roadmap and putting the pieces in place to achieve the results we want. Stay tuned and we will keep you updated as we move through this process. With that, here is Ted, with the recap of our first quarter results.
Edward M. Christie - Chief Financial Officer & Senior Vice President: Thanks, Bob. I join Bob in thanking all the Spirit team members for their contributions. I'm pleased to be part of this energetic and innovative team. We have our work cut out for us as we strive to find cost-neutral solutions to improve our customer service metrics and on-time performance while maintaining a high completion factor. Thanks to our team's commitment and dedication, I'm confident we can do so. For the first quarter 2016, we reported net income of $72.3 million or $1.01 per diluted share and a pre-tax margin of 21.3%. This was ahead of our recent updated guidance due to cost coming in slightly better than we expected, driven by the timing of a couple of items. Total revenue increased 9.1% on a capacity increase of 26.5%. Total revenue per passenger segment for the first quarter 2016 declined approximately $16 year-over-year to $107.88, primarily driven by a decline of $14 in ticket revenue per segment. Non-ticket revenue per passenger segment declined $2 year-over-year to $53.23. Although non-ticket revenue per passenger segment remains relatively stable, we have experienced modest pressure on take rates for certain ancillary items like bags and change fees, which we believe is correlated to low fare levels in our markets. Nonetheless, non-ticket revenue remains an inelastic and stable part of our revenue platform, which we believe makes us a difficult and formidable competitor. As for operations, during the first quarter, we went live with a new flight dispatch system. Over time, we will see benefits from the new system as it allows for automatic flight cost indexing and dynamic flight planning, which will provide long-term benefit to fuel burn. However, our first quarter operational performance took a hit as we ramped up use of the new system. We've seen continuous improvement since our initial roll out and believe we are in a good position to reap benefits from the new system in the second quarter and beyond. In March, we launched service between Seattle-Tacoma and Las Vegas and Los Angeles. We are excited to add the Emerald City to our list of destinations and are pleased with how the new routes are booking. Turning now to costs, for the first quarter 2016, CASM ex-fuel decreased 2.3% year-over-year to $0.0559. Compared to the first quarter last year, the decrease in CASM ex-fuel was primarily driven by lower aircraft rent per ASM. The decrease in aircraft rent per ASM was driven by a change in the mix of leased and purchased aircraft. This benefit was partially offset by higher depreciation and amortization expense related to the depreciation of aircraft and higher other operating expense related to the increase of passenger re-accommodation expense driven primarily by our difficult flight dispatch system implementation. Additionally, during the first quarter of 2016, we reached a tentative agreement with our flight attendants, represented by the Association of Flight Attendants CWA for a five-year contract. During the first quarter of 2016, labor expense per ASM was higher year-over-year due to the accrual of a one-time ratification incentive payment of $8.4 million related to this tentative agreement. Absent the impact of this one-time accrual, CASM ex-fuel would have been down about 4.5% year-over-year with approximately 1.5 percentage points related to the timing of costs that will push to later in the year. We ended the quarter with an unrestricted cash balance of $903 million. Through yesterday, April 25, we have spent approximately $25 million under the share repurchase authorization approved last October, repurchasing approximately 520,000 shares. In the first quarter Spirit took of delivery of four new aircraft, ending the quarter with 83 aircrafts in our fleet. Last quarter we mentioned that we are in the midst of updating our five-year fleet plan as part of the normal course of business. As part of this review, we concluded that to enhance our gauge and deployment flexibility it would be beneficial to have some A319s remain in our fleet. We also took this opportunity to evaluate the gauge and timing of future deliveries as well. We've made some changes, which will be reflected in the fleet plan we will file with the investor update later today, but here are some of the highlights; to-date, we have purchased three A319 aircraft off lease, extended the lease of one additional 319 and are in negotiations to purchase or extend the leases on seven to 10 additional 319 aircraft currently in our fleet. We have reached agreement with Airbus to convert 10 A321neo aircrafts scheduled for delivery in 2019 to A320neos and made slight changes to the timing of several of our other delivery positions. In the aggregate, these changes have little impact to our total capacity growth through 2021. They are, however, the first step in increasing our flexibility to serve a wider array of markets, including mid-size cities. Turning now to our second quarter and full year 2016 guidance, capacity is expected to be up 23.8% in the second quarter and we continue to target a capacity increase of about 20% for the full year 2016. The pricing environment remains soft. In general, it feels very similar to what we've been experiencing since late October. We don't have full visibility into June, but anticipate we'll see the usual seasonal strength for that period. However, given the shift of much of the July 4th outbound travel into the third quarter, it will be muted compared to last year. If the current pricing environment holds based on our current booking trends, we expect year-over-year TRASM decline in the second quarter to be similar to that of the first quarter. We currently have no fuel hedges. Based on actuals to-date and the forward curve as of April 21, we estimate our fuel price per gallon for the second quarter will be $1.45. For the second quarter 2016, we estimate our CASM ex-fuel will be down about 5% year-over-year, with the largest drivers of the decrease expected to come from lower aircraft rent and other operating expense per ASM, partially offset by higher maintenance-related expenses, both heavy maintenance recorded and amortization expense, and non heavy maintenance which is directly expensed. Last quarter, we mentioned that timing of maintenance events could drive some volatility in our CASM ex-fuel for 2016. Since then, we've made several changes to our 2016 maintenance schedule. Overall, our 2016 maintenance expense will still be about the same, it will just fall in different buckets than we initially anticipated, trading up lower capitalized heavy maintenance expense for higher direct maintenance expense. For the full year 2016, we're now estimating CASM ex-fuel will be about flat year-over-year. This includes the economic impact from the tentative agreement with our flight attendants, which we estimate increases CASM ex by about 1 percentage point year-over-year. In general, we expect to see a low single-digit year-over-year increase in CASM ex for the third quarter and a mid single-digit increase for the fourth quarter. The timing of maintenance events may drive some variability in this cadence and we'll update you on that as we move through the year. Again, I want to remind everyone that the pattern in CASM ex throughout this year is not a trend, but instead a timing issue within the year. We continue to expect full year 2017 CASM ex-fuel to be stable to declining. Taking into account April revenue performance, current pricing and booking trends and our CASM ex-fuel estimate, you get to a second quarter operating margin of between 20.5% and 22%. With that, I'll turn it back to Bob.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Thanks Ted. In the last four months we've been busy behind the scenes laying out a path towards improving our operational integrity, enhancing flexibility and exploring opportunities to improve our customer service metrics. Again, we aren't talking about making sweeping changes in the near-term, rather we have a successful business model that we're working to refine and improve. As we head into the peak summer travel months, we're focusing on continued cost and revenue execution, improving our operational reliability and providing friendly customer service. DeAnne?
DeAnne Gabel - Senior Director-Investor Relations: Thank you, Bob and Ted. We are now ready to take questions from the analysts. We do ask that you limit yourself to one question with one follow-up. If you have additional questions, you are welcome to place yourself back in the question queue and we will allow for additional questions as time permits. Brandon, back to you.
Operator: Thank you. And we have Rajeev Lalwani on line. Please go ahead.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Hi, guys. Thanks for the time. Bob in your prepared remarks you mentioned an upgraded pricing system and adjusted inventory management (12:13). Can you just talk more about what that means and maybe provide some examples? That's the first question. And then the second, as you look at the 2Q guide, can you just talk about how much of the pressure is coming from your growth versus competitive dynamics and then maybe just talk about at what point of the year you think you'll start lapping a lot of these pressures you saw from the legacies matching your pricing?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Sure. Well, in terms of talking about revenue management, I think probably in terms of systems, we got a new pricing system. But I'd just say, it just allows us to see things better than we did in the past. So, we have a lot better knowledge about what's going on around us and in detail and quite frankly, I think we have a better sense of what our competitors are selling today in our markets versus a few months back. And really beyond that, I think, it's again just redesign, just a few work practices. And I'd just say, we are just much more fully integrated with better visibility in terms of what the competitors are selling by bucket. So in theory it allows us to be more tactical. I guess regarding the competitive dynamics, there is still a lot of pricing noise in the marketplace and it really hasn't went up. I think the pricing environment today is as competitive as it has been from the past six to nine months. And to some degree, it's – you can't put all of it at the feet of the ULCCs. There is a lot of pricing, competitive activities going on between the hub carriers as well beyond the things that we are doing. So, again I mean our business model is fundamentally to stimulate fares in the large markets and small markets as well and we've got the cost structure to do it. But what we are also seeing is high cost carriers need price stimulation to carry traffic out of other legacy hubs and quite frankly that's kind of independent of what we are doing. But as we kind of go forward, there are some seasonal shifts. We did benefit from an early Easter. Again, we are largely leisure and the early Easter does pull revenue forward in the first quarter. So, it did make it better than we would have otherwise have been. We do expect to see sequential improvement, but again we need to adjust for that Easter. I think, again our first quarter was benefited by at least a point in terms of TRASM improvement. As we move into the third quarter, I think you will see, I would say, the biggest improvements in TRASM. Our capacity begin to slow down and a lot of the competitive environment is actually – is really embedded in the underlying numbers. Again, most of the big pricing actions began in earnest in the third quarter of last year.
Edward M. Christie - Chief Financial Officer & Senior Vice President: And Rajeev, it's Ted. Just to put a fine point on one of your questions. When we think about the unit revenue pressure that we see, I would say that about a third of it is related to our own growth and the remainder is due to the competitive environments. There are some localized issues in South America, particularly in Colombia with regard to currency issues that are causing some pressure in that environment too, but I would say that's the remainder.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Great. Ted, thank you.
Operator: We have Savi Syth on the line. Please go ahead.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. Good morning.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Good morning.
Savanthi N. Syth - Raymond James & Associates, Inc.: I was just wondering on the non-ticket side, a little surprised by the weakness given that we are lapping the on-board sales, accounting change, and also you did have lower prices in the second half of 2015, so just kind of curious, is it just passengers adapting to – customers adapting to the new environment or maybe some of those changed fees taking a while to start showing up, these declines and take rates take a while to show up?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: I think, again a couple of things. I think there is a little – again, there is a downward pressure on prices, I think you are going to see downward pressure on everything. And I think in the past we've always had a steady increase in other ancillary products that would normally offset it. For the most part, we have kind of been in a lockdown because we are going to be launching, I guess probably in the third quarter, maybe late in the second quarter, a brand new web redesign and for the most part we have slowed or we've almost stopped various new initiatives. So, I think it's again just general downward pressure, given compression (17:47). Somebody may be willing to pay less on a ticket, there might be some, let's say, maybe some resistance in some other areas, but we're not offsetting it with some of the new initiatives that we would typically be bringing on. And I think you'll begin to see some improvement as we move forward.
Savanthi N. Syth - Raymond James & Associates, Inc.: That's helpful, Bob. Thanks.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Okay.
Savanthi N. Syth - Raymond James & Associates, Inc.: And maybe for Ted just on the new dispatch system. Could you talk a little more about, if we should see the high re-accommodation cost into the next few quarters and then tailor off or what's the timing around the benefits of that system and have the issues been resolved?
Edward M. Christie - Chief Financial Officer & Senior Vice President: Yeah. It was really, Savi, at the cutover. We experienced some disruption around that and which was where the operation got banged up in the month of February as a result of that. But that's all been, for the most part, straightened away and so as we head into the second quarter, where we resumed normal operations. So I wouldn't expect any pressures on customer re-accommodation expenses as a result of that. In fact, as the system matures, we expect that it will actually provide benefit to us, mostly in the fuel line, but it's going to be a net positive to the business over the longer-term.
Savanthi N. Syth - Raymond James & Associates, Inc.: All right. Thank you.
Operator: We have Michael Linenberg on line. Please go ahead.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Yeah. Hey Bob. I want to get back to just on market selection. You talked about looking at some mid-sized markets and also it does look like some hub-to-hub markets like Philly-Miami, Philly-Chicago, it looks like you've pared back in some of those markets, maybe even withdrawn completely. And I'm not sure how much of that is just a function of the competition in that market and looking to put the aircraft in another market that will provide a better return or profit or is some of that also a function of just the ops, where you're flying into some of these big hubs up against competitors with lots of flights and big hubs that maybe hard to turn the aircraft and get that utilization where you need it to be? So, how much of it is operational versus competition? Just some thoughts on some of the pruning that we're seeing going on in real-time.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Sure. So, let's just take again the primary initiative going into 2016. The primary initiative is really development in Los Angeles. Again, this is an area where Spirit spent a long time trying to get additional gates and gates tend to be so scarce for carriers like us when you get the opportunity and you're also forced into somewhat of a high utilization in order to acquire the gates and to retain the gates. So, again our big initiative this year is we've got six new routes in Los Angeles and I think in the second quarter you're going to see an ASM growth rate of 85% to 90%. And so, I think that's a key focus of which – it didn't make sense to change as we head into the second quarter and even into the third quarter. In terms of making adjustments, I mean there is a natural dynamic of looking at what's going on in the marketplace. So, for example, in 2016, we either drop or intend to drop, I'll say, three city pairs. Two are Fort Myers routes, Atlanta and Dallas-Fort Myers. They're seasonal routes, but given the performance, those routes will not be back in the 2016-2017 winter period. And we made one another adjustment, which is Chicago to Philadelphia, which is really tied to some of the operational changes that we're beginning to make. So, for the most part the pricing issues that we see or the effective pricing, it's largely through most of the system. We got about an 85% and 90% overlap with other carriers and the price cutting is broad. And again, I think the only carrier that has more competition than Spirit is probably Virgin. I don't think they may have any single carrier routes. So, I think, we generally see strong competition, but again just think in terms of the focus, what we are doing, because a lot of focus has been maybe on certain cities, but Fort Lauderdale is our largest entity, it's about 13% of our ASMs, about two-thirds of that is domestic. Las Vegas is about 9% of our ASMs, Chicago 3%, LA 4% and Dallas, which tends to get talked about a lot, is actually kind of our fifth producer of ASMs. So, what we've done is we've actually established ourselves in many of the key airports around the country. And I think I'd go back to a premise. There is really no large market in the country that I think is going to not have ULCC pricing. I mean legacy carrier cannot optimally price the large markets. And it wasn't true 20 years ago and it's really not true today, and we've established the position in those key markets, kind of what we're doing now. As we go forward and particularly as we get to November, I think you will see some more of the mid-size market initiatives. So, again, it's really a combination of staking out the landscape. We don't have a lot of things that we want to give up. Our positions in these key hub markets will play a huge role for us as we go down the road. And what we don't want to do is move away from profitable routes again to create, just open up routes. There is plenty of time to do all this and we do have 20% plus margins. So, there's not a lot of bare routes around our network. And if we have routes that aren't working, we generally either conclude we can't fix them or we'd just walk away from them. Okay.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Thanks Bob for that comprehensive answer. And just a quick one maybe over to Ted. It looks like you took – you had a special charge, $16 million related to the early termination of a couple of aircraft. I think you mentioned that you purchased three off-lease. So I don't know if the third one shows up in the June quarter and then you went on to say, there is another seven to 10 airplane. So I guess, should we anticipate other special charges tied to this? And I was going to just ask the thought behind why this is a special, maybe it was unanticipated and that wasn't the plan. What drove it as a special rather than just running it through the P&L?
Edward M. Christie - Chief Financial Officer & Senior Vice President: Sure, Mike. Yeah, the third airplane that I did reference is the Q2 airplane that would have a directionally similar kind of special charge. The reason we call it special is one-time in nature, it's related to the lease termination. So that in our view pushes through the special line. So, the way I would characterize is, we're getting the benefit of an early lease termination, so we're terminating future rent expense. We're terminating any related lease end expense, return costs, that sort of thing. And we're getting the benefit of ownership over the longer term, so clearly, a very accretive transaction to the business over the life of that aircraft.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Very good. And so, when you had mentioned that the rent expense would be down going forward, it's obviously being driven by this transaction right? There's not anything else there – these transactions?
Edward M. Christie - Chief Financial Officer & Senior Vice President: Yeah. Well, let me clarify. On a unit basis, rent expense is down because of the general shift from lease to own that's happening with new deliveries, nut absolute numbers, yes this is a portion of why rent expense will go down is related to these transactions. I also mentioned that we are evaluating seven to 10 other aircraft. Those will be don't know yet, but even if they are extensions rather than purchases that would drive changes in the rent line as well due to the extension of the lease at a different rate, straight line that per GAAP (26:39) and that's going to provide some benefit too.
Mike J. Linenberg - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: We have Duane Pfennigwerth on line. Please go ahead.
Duane Pfennigwerth - Evercore Group LLC: Hey. Good morning, guys. Thanks for the time.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Good morning, Duane.
Duane Pfennigwerth - Evercore Group LLC: Just want to back track on your revenue guidance over the last couple of quarters. I felt like fourth quarter you said it would be similar to 3Q, it ended up about a 1.5 point better. Maybe Bob, you don't get full credit for that, but certainly first quarter, I think the initial guide was similar to 4Q, you ended up little bit more than 2 points better. So, what changed over the course of maybe the March quarter relative to your initial expectations?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Well I think, we just had a very strong – March tended to be stronger than we were. And again, we did realize that we would have, obviously, Easter moving – I think it was March 27, does shift some of our business forward and correspondingly makes April a little bit weaker. So I think, it was just stronger than we thought. And like I said, in terms of let's say improvement it did aid that first quarter again by at least 100 basis points. So I think when you make that adjustment and recognize that we had a benefit, we're still seeing a sequential improvement recognizing that the environment really is unchanged though.
Duane Pfennigwerth - Evercore Group LLC: I appreciate that. Maybe you could just push back on this, I mean, I appreciate the environment is not changing and it's consistent, but it feels like we are going to begin to lap a sloppier pricing environment. I agree that most of that was more of a third quarter phenomenon, but it feels like some of that started to show up in June. So I wonder does your second quarter guidance really contemplate comparisons relative to sloppier pricing? Thanks for taking the question.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: No. Okay. And I think I understand. I think initially – I guess there is actually two factors. A lot of the competition, again the focus might have been, let's say, in Dallas really late last year, but to some degree since the third quarter and even through the fourth quarter, it somewhat spread throughout the industry. And so, to some degree there has been a broadening of price competition actually over the last year. So it's in most places, it's in Chicago, it's in the West Coast, it can be some commentary about some of these walk up fares, you're seeing it maybe in Charlotte and other places. So there is and you think you see some of that perhaps in the legacy carrier results. It has somewhat broadened out from really the genesis around Dallas and let's say, a couple of other Spirit markets. Today, it's really all Spirit markets with few exceptions and it's somewhat broader in the industry. So, there is somewhat of a reason why perhaps, again the rest of the industry is not seeing some improvement. They have extended it beyond Spirit and to some degree it's happening between themselves. So, I think that's as we move into the third quarter, we get to a point where we truly begin to lap what's going on, but like I said last year in the second quarter, we did not begin to see the price matching until I guess really early June, I would say...
Edward M. Christie - Chief Financial Officer & Senior Vice President: Yeah June 3rd.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: So June 3rd and so we are really seeing it the full quarter right now. And like I said, as we move into the third quarter, it's pretty much broad brush as you move going on. So again some of this is again not unique to Spirit. And again, we were probably at the tip of the spear in terms of the Dallas focus first, what was going on at Love Field and then second with some of the competitive actions in DFW, okay.
Duane Pfennigwerth - Evercore Group LLC: Thanks for that Bob. And if I could sneak one more in. As you run these fleet changes out, A321s to A320s and keeping more A319s, what fuel curve are you assuming or what future fuel price are you assuming with these fleet changes? Thanks again.
Edward M. Christie - Chief Financial Officer & Senior Vice President: Yeah. Hey Duane. Remember that we made all of our fleet decisions to-date based on a much higher fuel environment and that remains the case. The company assumes higher fuel longer-term when we'll make fleet decisions. The A319 aircraft in our configuration is a very fuel efficient airplane. The CO airplane in our configuration is a very fuel efficient airplane. So that we believe is an advantage, not a disadvantage. And so when you're factoring in direct expenses associated with fuel, you have to also factor in the ownership cost of the airplane and the maintenance cost of the airplane. And so, we take all of that into account when we think about our long-term fleet.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: And again just following up in general. I think, philosophically, we believe that our cost advantages are wider, I'd say at 750 miles than they are at 1,500 miles. And again as you look at the industry evolving and just think about this over a couple of years, stage lengths of the high cost carriers are growing and average airplane size and average seat size are growing as well. To some degree, we're moving slowly in the other direction. And I think that's actually a good place to be for a low-cost carrier and we're going to move into a place where our advantages will be bigger. Okay.
Duane Pfennigwerth - Evercore Group LLC: Thanks very much.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: All right.
Operator: We have Andrew Didora on line. Please go ahead.
Andrew George Didora - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Great. Good morning, everyone. Bob, I just wanted to touch on cost a little bit. You and Ted were pretty clear in your prepared remarks that you are looking at cost-neutral ways to improve the product. I guess, my question is have you identified any of these options now or are they on the come? And then do you feel confident that you can keep your CASM flat to down like SAVE has discussed in the past over the next several years? Thanks.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Again, that's a good question and that's why, I'd say, we're taking our time and moving at a steady clip. If we were able to in one quarter make a dramatic improvement, it would be, let's say, all pad and all gloss so to speak. And so, if you look at in the business, first of all I think again the way our schedule is structured, we struggle with recoverability and so the schedule is going to take some redesigns. Our preference is to redesign the schedule in shoulder period and a lot of that redesign will come in the fall. But in terms of disruption, I think even in some commentary today, where we had some issues in the first quarter as we were installing some new systems, our dispatch manager. I mean the cost of disruption to Spirit is very, very high. We don't have the option to give our passengers to somebody else. We end up buying tickets. It's very, very expensive. Our costs last summer because of some reliability issues were very, very expensive as well. So, what it does is, over time, is to – we think we can spend money before the problems occur rather than on clean up, where you get secondary issues such as complaints as well. But also in terms of block time, I mean, we have airlines today that are using a block standard of 75% to 80% or more. It's just simply is paying more money to show a good performance without fundamentally turning the airplanes any faster. And so, we are at the very low end. Spirit historically many years ago was probably at a 55% block target. Today, we are at 65% and in our goal we are going to be somewhere between 68% to 70%, slight improvement and again it'll be a very, very, very gradual process. Going to 80% and just to produce 5 points or 6 points with no real performance improvement, we think is a waste of money. And quite frankly, we don't think we'll buy as much. So therefore that's not a place that we want to invest. So there is making sure that the design is improved, gradual improvements and basically day-to-day management. If you're turning your airplanes 55% on time and you're relying on block data, it's not fundamental improvement. And so, our focus will be over time, we'll improve our turn performance and we'll do it with slightly higher block times than we do today, but not bloated block times. So that's the path that we've chosen and I think over time, we want to make sure that we come out with the same cost advantages that we have today and that opts for again a more metered approach to improving the operation. I think, again, I think a little by little, over time, you will see the differences. You'll see bigger ones in the fall, when you can make the redesign in a time when you're in slightly lower load factors and so that will be our focus.
Andrew George Didora - Merrill Lynch, Pierce, Fenner & Smith, Inc.: That's great. Thanks Bob. And then just quick follow up in terms of the fleet, after all of the changes that you talked about earlier, I guess going forward, how flexible is your delivery schedule and is there an ability to change it more and even the ability to maybe cancel some of the new orders that you had if you choose to do so? Thanks.
Edward M. Christie - Chief Financial Officer & Senior Vice President: Hey, Andrew. It's Ted. I think I've said this before. The company has a firm order with its aircraft manufacturer. We intend to deliver all those airplanes. And while that means that those aircraft are non-cancelable, there always are negotiations that happen between the operator and its vendors. This is one indication of that, and our ability to change gauge and shift around some of the delivery positions that comes as part of that relationship, but as of right now we have no intention of changing the overall fleet order. We feel very comfortable with the count of aircraft and we will always work with Airbus to optimize that over time.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: And just to follow-up a little bit in terms of capacity. Again I think, I mean last year, Spirit's growth rate was approximately 30%. I think this year, we'll probably come out just north of 20%, maybe 20.5%, round numbers. And in 2017, I think we'll be somewhere about 2 percentage points below that, or in round numbers about 18.5%. So there have been some adjustment. As we mentioned last quarter, somewhere in that 15% to 20% range is where we think is the right place to be based on really what we see. And I think more importantly, again that mix, we want to have a more flexible mix. I mean the trend in the industry, as I said, is bigger planes and ultimately – again, we have the cost structure to do that. We think there is a more optimal place for us to be in markets below 1,000 miles and that means retaining our A319s.
Andrew George Didora - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hey. That's great. Thanks guys.
Operator: We have Hunter Keay on the line. Please go ahead.
Hunter K. Keay - Wolfe Research LLC: Hi. Good morning. Thank you very much.
Edward M. Christie - Chief Financial Officer & Senior Vice President: Hey, Hunter.
Hunter K. Keay - Wolfe Research LLC: Hey, Ted. So, Bob, I think a lot of people are extrapolating weak closed-end pricing to weak corporate demand, but I don't think that that's necessarily right. So the question I have for you, Bob, you got comments obviously, you got opinions on the domestic environment as a whole. So are you still seeing an inverted booking curve? And if so, do you attribute that more to the ULCC dynamic or just generally too much capacity relative to demand? Because I'm afraid, I fear that this is going to be, if you do see that, sort of like a new normal for the time being for quite some time. Is that fair?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Well, I think, we might express it differently. Let's again talk about the environment. So, we do not have, let's say, a good view as a company about, let's say, what large corporate clients are doing. I mean, that's not our target. We don't have the scale and the size to participate in those agreements, but everything that we hear is, there is weakness there. So what that does is, that kind of creates a buy-down kind of mentality. So if there is – you start trying to replace that customer, so if someone who is willing to pay $500 is not out there, that may mean you're going to go out and put an advantage fare out, a couple of hundred dollars less. So there is a tendency to buy-down. Leisure bookings and leisure market looks pretty strong, but what happens is, the carriers will move down the food chain. In other words, if they can't replace a $500 customer or a customer disappears, they will move down to the $300 bucket, ultimately they might move down to the $100 bucket. So I think that's probably what's going on and, to some degree, that's why you're seeing some of the pricing go into some of the legacy hubs. What you're seeing is, again the typical legacy carrier, its traffic is drying up where they got a connection versus a non-stop. And so, we are really basically seeing discounting. And just in terms of the commentary, that says there's a couple of ways to handle it. One is to you can either cut prices or you can put smaller airplanes in the hub-to-hub flying. That's another way to improve it and reduce some of the discounting. So, I'd say, to some degree, if there is a need for high cost carrier to discount in another carrier's hub, you can manage it with the capacity, that's another way of doing it. So, I think, arguably, you are seeing excess capacity at some level in some of the very large mega hubs. And some of these things can shift very, very quickly. It's very, very, possible that these things can turn in, let's say, May and June. Again around the country, a month like May tends to be an exceptional business month. And it is possible to see very quick and sudden turns in the marketplace, which could change some of the commentary. But for our purposes, again we're mostly leisure, and really small business focused. And like I said, our space tends to get more crowded when we see perhaps issues on the international from the larger carriers or with large corporate contacts. So, I think that's generally the context, we see no demand issues in the leisure side right now.
Hunter K. Keay - Wolfe Research LLC: Okay. All right. Thank you. That's helpful. So, I think you have a new yield management system, you have a new flight op system, how does Navitaire fit in to this sort of strategic pivot, if you want to call it that, and have you done the work around whether or not that's the right PFS tool for you guys going forward? Thank you.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Good question, Hunter. In terms of the systems, Navitaire is a system that's been around the world. We are actually in a period of time, if we were going to make change, now will be the time we would consider it. We really have to decide fundamentally what are the advantages or disadvantages of changing. And again, there is a lot about – the simplicity of our system actually is quite good. If we wanted move into co-chair, I mean we believe we could to do it. I believe the capabilities are there. If that was a path we wanted to move down, I don't think it's a natural path or focus for us. We're always concerned about costs. But I think the key for us is being able to make sure that the ability to package and develop our ancillary products, that's a very high focus for us and we need to make sure as we go forward, as we get bigger that we can actually keep up with the pace of initiatives. So, we are going through that debate. Again, I'm not unfamiliar with the systems. Ryanair (45:06) is a Navitaire customer. So, it's scalable. We had at AirTran, we were a Navitaire customer. We had 150 airplanes. So the system is capable of ultimately scaling up. We need to make sure that for a carrier like Spirit, we actually have some very unique requirements in terms of managing our ancillary. So that's really the big focus for us, but I think all things considered, it's a good system. And like I said, we're in the process of making our future decision.
Hunter K. Keay - Wolfe Research LLC: Thanks Bob.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Okay.
Operator: We have Helane Becker on line. Please go ahead.
Helane Becker - Cowen & Co. LLC: Thanks very much, Operator. Hi, everybody. And thanks for the time. Bob, I was kind of wondering, Spirit generally falls to the bottom of the complaint list or maybe the other way the top of the complaint list. And I'm wondering if you're doing any customer outreach in an effort to smooth over feathers and may be attract some customers who tried Spirit in the past and may have been disappointed?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: It's a good question and actually, I think the answer is, yes. And philosophically, again, it hasn't been a focus. It wasn't a focus in the past and to some degree, we spent very little effort in the past trying to smooth over efforts. The key thing for us, Helane, is to make sure to begin to solve some of the problems before it occurs. And we actually have. And so, when you have a summer like we had last year, it can create months ultimately of issues. And quite frankly, if you don't go out and try to manage those when they occurred, sometimes these problems get larger. The fact is and again, the initiatives are now new to Spirit, they are not new to the competition. The outreach needs to go on, because most customers are going to come to the airlines first. And the stats really show that and if you make an effort, and it's not necessarily about money, a lot of this is about effort, it's about apology, it's about you really caring, we get a shot at handling most of these issues, which as we begun new initiatives in the first quarter, we are actually seeing some benefits. There are some areas where we do charge for more things and which is a policy. And so sometimes we will get a complaint. And complaint can be an observation. Our strategy is to charge for bags, so a customer can complaint say, I don't like that you charge for bags. That still counts as a complaint. We are not going to be able to remove that, because that's strategic decision. But there are others, particularly in terms of recovery after a four-hour delay that we can be provocative quite frankly and make sure, we begin the process of apologizing and managing the problem. Quite frankly, you can do that before the customer even gets on. So, we don't really have to invent the wheel. There's a number of airlines who have done a very, very good job over time and this is probably a place where being like other carriers can be an advantage. Like I said, it's more of the easier things to do. I mean apologizing and carrying don't cost a lot of money. And quite frankly that's the primary focus. That will move the needle quite frankly really more than anything else.
Helane Becker - Cowen & Co. LLC: Okay. Thank you. I appreciate that response. The other question I have is, I know one of the issues you had talked about I guess with decline in ancillary fees is the take rate on bags or and I guess change fees, because sometimes actual fare is lower than the change fee. So, is there a base fare that you need to get to before, in order to see the take rate to go up or is it just as simple as the fare has to be higher than the change fee?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Well, it's somewhat related. I think, again, if you kind of look, generally again for an airline structured the way Spirit certainly total revenue obviously is a key focus. But fares at some point need to go up here as well. When you see your average yields dropping, over a period of time eventually we're going to need some improvement there as well just because. So the efforts have got to be certainly, again, at some point going forward, we're going to need to some change in yield as well. We just at some point we won't be able to get to where we need to go working with just half the ledger.
Helane Becker - Cowen & Co. LLC: Got you.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: And I think eventually we will see some upward movement in prices and I think generally some resistance to let's say ancillaries may go away. But I also think, again, there'll be more initiatives. Again, we don't have a mobile website and we've locked down our entire web system to basically new initiatives, pretty much for the last six to nine months. So we've really held off on doing a number of things, of which we naturally need to keep that base rate steady. And I guess, I think, you'll see some improvements as we move into the third quarter as we go live with the new web system.
Helane Becker - Cowen & Co. LLC: Great. Thank you so much for your help.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Thank you.
Operator: We have Joseph DeNardi online. Please go ahead.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Hey, thanks. Bob, just to follow up on the ancillary side. Can you provide maybe a little bit of color as to what some of these new initiatives – if not what they are, what they could mean? I think there has been some discussion about it could be worth $1, $2 per passenger. Is that the right way to think about it? And when do they really start to come in? Is it more 4Q?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Later in the third and into the fourth, but in terms of the ones I think we've spoken about, we've talked a little bit about some of the dynamic pricing, but beyond that there is a few others, but I'd prefer not to talk about things too much just so I don't really want our competitors to know ultimately what we're thinking. But like I said, in terms of future gains come in $1 and $2, not tens. And we've got the large initiatives in terms of bags and seats changes, things – but really $1s and $2s and it really needs to be a constant form of initiatives, and so just shutting some of those off with some of this I'd say natural or call it adverse selection has made our total ancillary number just again move down. And again, I'd probably say it's a good eight months to nine months of holding back on initiatives that's really the primary issue here. Again, that number has largely been steady for several years. It's hard to bring it up. The initiatives need to have a steady flow again of $1 and $2 items. So like I said, third quarter you'll start seeing a few new initiatives and obviously in the fourth quarter we should be up to speed more of a normal mode. We haven't seen that in about a year.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay, that's helpful. And you obviously gave a pretty comprehensive assessment of the pricing environment. I think there's some uncertainty among investors as to what a broader rollout of basic economy is going to mean for you. I'm wondering if you could just talk about that a little bit, when your peers start to roll that out a little bit more in the second half of the year, do you expect that to help, hurt or not impact your pricing?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Again, trying to describe what basic economy is, it's called a coach seat on a legacy carrier with no frequent flier points and maybe no seat assignment. So that's what it is. It's not a new product. It's as simple as you're taking away maybe a couple of items. I don't see how that's necessarily more attractive than what they're selling today. By definition it's a less. The only thing that really matters is the number of seats that the legacy carrier allocates through that fare class. But generally speaking, if they keep the same number of seats out there, then it's neutral. If it allows that legacy carrier to reduce or say better manage, then it can probably be slightly positive to us. So I would be more in the neutral to positive camp. But I think what we've seen out there is that pricing doesn't stay localized. Price matching tends to spread, and a lot of the new initiatives that we saw perhaps start with the Southwest buildup in Love and then some of the competitive dynamics in Dallas, they end up spreading to other places and they don't stay localized to Spirit or other low-cost carriers. So the more of this that you see, like I said, the more let's say pricing dynamics we have. So, I think, again just to kind of go back to really where we are and just think about some of the comments we're hearing, matching the prices of Spirit, they do break down, let's say, the pricing barriers between the leisure and business. That's very hard to control. And the basic economy doesn't necessarily address any of that. If you have low walk-up fares as a legacy carrier, it makes it exceptionally difficult to manage the inventories and, quite frankly, basic economy is not going to help that. So I go back to it, the amount of seats of which we can't be sure of, the number of seats that they put out against us will determine the impact on us, and I'd say it will be neutral to positive. And I would refer it to some of the other commentary around that I think would support that opinion. Again, the more low prices that a legacy carrier charges on a walk-up basis, the more difficult it is to manage the revenue. Right?
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay, that's great. Thanks, Bob.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Okay.
Operator: We have Dan McKenzie online. Please go ahead.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Yes, hey, good morning. Thanks, guys. With respect to the cost that have gotten pushed to later this year, what costs are those exactly and when do they hit?
Theodore C. Botimer - Senior VP-Network Planning & Revenue Management: Hey, Dan, it's Ted. It's mostly maintenance-related stuff and it's going to be spread between the remainder, I'd say, kind of peanut butter through the remainder of the year.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Got it, okay. And then just given the move to fixed operations in summer, I'm wondering what's the front-end cost pressure that's embedded in the second quarter outlook, either in terms of block hours or in terms of overall costs, things that you're doing differently this summer that you didn't do last summer to fix the experience?
Theodore C. Botimer - Senior VP-Network Planning & Revenue Management: Again, our objective is to do all of this, as Bob was mentioning, carefully and thoughtfully in a way that doesn't penalize the cost structure, because the expenses that otherwise would be on the back-end would be on the front-end. So that's the way we're thinking about the operational improvement. So while there would be a shift of expenses throughout the income statement, I wouldn't say that it's timing front-end loaded or back-end loaded.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay, and then I guess just one final house-cleaning item. Where we are with respect to the $100 million stock repurchase authorization?
Theodore C. Botimer - Senior VP-Network Planning & Revenue Management: Yes, I mentioned that in my prepared comments. Through the end of yesterday, we had repurchased $25 million of that $100 million authorization. It was about 520,000 shares.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Very good. Thanks, Ted. Sorry, I missed that.
Theodore C. Botimer - Senior VP-Network Planning & Revenue Management: No problem.
Operator: We have Julie Yates on the line. Please go ahead.
Parker Kim - Credit Suisse Securities (USA) LLC (Broker): Good morning, everyone. It's Parker Kim on for Julie. So with regard to moving downstream into more mid-size cities, you mentioned 2016 is still kind of large city focused, mostly because you're building out the West Coast. But how long will it be before we start seeing mid-size cities represent 30%, 50% or 70% of the growth if it's that high at all?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Well, again, we're not targeting a percentage. We're actually going to target markets. So I would say, whatever percentage – we're not trying to calculate the result. What we're doing is again we're creating a better ability to fly the mid-sized markets by maintaining the A319s and by definition, over time, maybe having a few less A321s and more A320s. So that will create the ability to do so, but I think we'll see some new markets. And again these markets are not unique to Spirit. It's just more recently the focus has been in some of the large metropolitan areas, but I think you'll start to see some initiatives in the latter part of this year.
Parker Kim - Credit Suisse Securities (USA) LLC (Broker): Okay.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: More in the November timeframe.
Edward M. Christie - Chief Financial Officer & Senior Vice President: And I would add that our objective is to be more nimble and less predictable in our deployment, and so these fleet moves afford us that luxury. So how we deploy our aircraft now is even broader as we make these changes over time, again, as I said this is a beginning of what is an evolution, but over time that gives us enhanced opportunities to do some of the stuff we do today more of it, different things, it's going to be a net positive to the flexibility of the business.
Parker Kim - Credit Suisse Securities (USA) LLC (Broker): Okay. And just one last one. Are there any operational issues associated with moving operations into more mid-sized cities and away from the larger crew bases in the top 25 metros, any sort of labor productivity declines as a result of the move? Thanks, guys.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: No, I think actually things – it's a lot easier. I think as less things go wrong, it's more markets, and the operation tends to be simpler, less prone to air traffic control the delays. So I think actually, quite frankly, it's easier. Most of the bigger issues are going to occur in large metropolitan areas where you're subject to gate constraints, runway constraints, weather. The biggest delays tend to initiate in some large metropolitan area. Right?
Operator: We have Jamie Baker online. Please go ahead.
Jamie N. Baker - JPMorgan Securities LLC: Hey, good morning, everybody. Bob, I'm trying to reconcile the modifications that you intend to make to the model with the timing of pilot negotiations. Basically does the current contract permit you to do everything that you hope to in terms of the revisions to the business model or is it to the company's benefit to hammer out a new contract before you can really pursue some of the changes that you've been talking on the call today?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Well, I think actually, in terms of making adjustments, I don't think it necessarily has an impact really one way or the other. What we're doing in many ways is simpler. Quite frankly, what we're talking about doing is simpler than probably what we're doing today. I think over time we'll create – it will be less complex. We'll end up having more density perhaps in some of our markets and a little bit more concentration, which will quite frankly just allow us to just to manage, I would say, daily operational issues simply better.
Jamie N. Baker - JPMorgan Securities LLC: Okay.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Again, today with one flight in every market, again, small issues sometimes can turn into larger ones.
Jamie N. Baker - JPMorgan Securities LLC: Okay. And as a followup to that, Bob, I know you want to avoid negotiating in public, but the industry wage bar is rising at a pretty rapid clip for aviators and your cost structure obviously is already quite lean. Is it inevitable that the next pilot contract reduces margins? I mean, when I think about the flexibility that some of your competitors have, they can densify, they can make offsetting revisions to profit sharing, they can add back seats, that kind of stuff. I mean you're already doing all of that stuff. So am I missing something?
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: No, I think, there are again a couple of differences and like I said, in terms of pricing, there are tiers. You have, again, Frontier and Allegiant well below us and that's...
Jamie N. Baker - JPMorgan Securities LLC: Yes.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: ...our peer group, and you move into another bracket, you have JetBlue slightly above us and then you actually have the legacies, and I think there is a context for all this stuff. And in terms of what we offer, we offer fast growth, our pilots become captains much earlier than their peers.
Jamie N. Baker - JPMorgan Securities LLC: Yes.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: And there is a benefit of that. And so there is a benefit of maintaining a higher growth rate. And that's what we primarily offer. None of the large carriers can get you to that left (1:05:29) seat in a couple of years and that's a primary advantage. That's a primary reason or a key reason for coming here and quite frankly the longer we can maintain a higher growth rate that will provide the best benefit to the pilot group. So that's kind of the context that we're thinking about and like I said that's the way we will approach our negotiations.
Jamie N. Baker - JPMorgan Securities LLC: Okay, understood. Thanks you very much, Bob. Appreciate it.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Thank you. Great.
Operator: We have Steve O'Hara online. Please go ahead.
Steve M. O'Hara - Sidoti & Co. LLC: Hi, good morning. Appreciate you taking the question. Maybe just going back to the ancillary revenue, I apologize if you mentioned this. But did you talk about where this comes from in terms of where the weakest revenue or kind of the weakness emanates from? And then also just in terms of pricing when you look at a market I think in the past you used something like a 25% haircut to the prevailing fare to kind of look at where the fares were. Does that kind of math still make sense or do you use maybe a normalized fare environment or what maybe you estimate be normalized? Thank you.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Well, just to go back and to explain again the compression in ancillary, it just tends to be in each key bracket there is a slight degradation. There is really nothing that really kind of stands out and I just think it's continued downward pricing creates the, let's call it, adverse selection or whatever that is. And like I said, I think if we had more upward pressure with new programs, it wouldn't be very noticeable. So I think actually it's an ongoing process, but we don't have the new initiatives coming in. Regarding pricing, I think we can start out with a 25% number, but I think actually as oil prices have moved down, I think, there is a relationship, we've seen the relationship, so the underlying prices have actually come down even lower than that, and some of these let's call it advantage fares they could be 40% to 50% off fares. So there's fares in the marketplace that go well beyond some of the things that Spirit is doing, but just kind of going back, one thing I would say is and I think it's something that's in our favor. Our prices tend to be cost based or largely cost based. And when you're round numbers close to $0.05 a mile on cost that kind of creates a huge advantage for us and again it's kind of an area that we're very comfortable in and our goal because of our ancillaries is to maintain a high load factor. So we approach I'd say revenue slightly different than traditional carriers do. Okay?
DeAnne Gabel - Senior Director-Investor Relations: Hey, I am sorry, folks, we are out of time today, but thank you so much for joining us today and we'll see you all next quarter.
Robert L. Fornaro - President, Chief Executive Officer & Class III Director: Thank you.
Operator: And, ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.